Ephrem Ravi - Citigroup:
Cole Hathorn - Jefferies:
Johannes Grunselius - DNB Markets:
Lars Kjellberg - Stifel :
Andrew Jones - UBS:
Robin Santavirta - Carnegie:
Massimo Reynaudo: Hello everyone. Welcome to UPM Quarter 4 and Full Year 2024 Results Webcast. My name is Massimo Reynaudo. I'm the CEO of UPM. Here with me is Tapio Korpeinen, the CFO. We will soon illustrate the main facts and achievements of 2024 and share some views about what's ahead of us in 2025. But let's start with the performance about the full year 2024. Well, we improved our performance from the previous year and our comparable EBIT increased by 21%. This was driven by a good contribution from our pulp mill in Paso de los Toros and by a moderate improvement in advanced material deliveries. As you may recall, the year started with a strong recovery of the demand from the low levels of 2023, but in the second half of the year, the recovery slowed down. In this environment, we implemented decisive measures to improve our performance. For example, we reduced our fixed cost substantially, €130 million in comparison with the year before. Also, during the second half of 2024, we made structural changes in several businesses to streamline and sharpen our competitiveness. And we will drive further streamlining, fixed cost saving and margin improvement actions in 2025. But back to performance, in quarter four, sales grew 4% year-on-year and the comparable EBIT increased by 29% in comparison with the same period of the year before. The EBIT was €418 million. This performance included a fair value increase of our Finnish forest, totaling €105 million euros. Excluding that, excluding the Finnish forest, our business performance was on a similar level as in quarter 4 '23. The operating cash flow generation has been strong at €570 million euros. At this point, I'll hand over to Tapio, for some analysis on the results.
Tapio Korpeinen: Thank you, Massimo. So here you have on the left hand side the Q4 EBIT development compared to the previous year, Q4. And you can see that sales prices were flat on group level, while variable costs increased slightly and this is mainly coming from fiber costs. Deliveries had a small negative impact on group level EBIT. They grew for pulp, labor materials and plywood, but then decreased for communication paper and energy. The forest value gain Massimo mentioned is seen here in the other bar. On the right hand side, you can see the sequential development from the third quarter this year to the fourth. Sales price had a clear negative impact here, mainly coming from lower pulp prices. Variable cost decreased. The timing of the energy related refunds booked through the fourth quarter in Communication Papers explains the majority of the variable cost decrease that you see here. And this will reverse into the first quarter now. Fixed costs increased from the third quarter, mainly due to seasonal and timing reasons, which is, I would say, typical in this comparison between fourth and third quarter. Then looking at the business area performance in terms of quarterly EBIT, in UPM Fibres our deliveries increased by 22% compared to the third quarter. Average pulp selling price decreased 11%, however, having a negative impact on EBIT in this sequential development. In Uruguay, the railway between Paso de los Toros mill and our port terminal in Montevideo was fully operational by the end of the year, and therefore the new platform is in complete use from the first quarter onwards. In Raflatac, EBIT was slightly down sequentially from the third quarter. Deliveries increased both year-on-year and sequentially. The market activity was still catching up with the pre-COVID levels, particularly in Europe, however. In this slower recovery environment, Raflatac took measures to simplify and cut costs. The main impact of these measures is to come in 2025. In Specialty papers, deliveries of label and packaging papers were stable, while fine paper in Asia had deliveries that recovered somewhat from the slow third quarter. Fine Paper prices were lower, while the positive cost impact from decreasing pulp prices was materializing with some delay. As a result, EBIT was slightly down from the third quarter. In Energy, average sales price increased by 18% from the third quarter, and EBIT increased. Communication Papers, as said, booked the usual energy-related refunds in the fourth quarter. Deliveries decreased by 10% in the fourth quarter compared to the third. During the second half of the year, we closed down 330,000 tons of newsprint and 280,000 tons of fine paper capacity. And then when it comes to our financial position, our balance sheet is in good shape. Net debt was €2,869 million at the end of the year. Net debt to EBITDA ratio was 1.66 times. Cash funds and committed credit facilities stood at €3.2 billion. This slide shows our profit guidance and the main points of our outlook. We expect our comparable EBIT in the first half of 2025 to be in the range of €400 million to €625 million. We expect higher delivery volumes and lower fixed costs in the first half of '25 compared to the first half of 2024. 2025 will be the first year of full production at the Paso dos Toros mill in Uruguay, which is expected to grow bulk deliveries. Deliveries are expected to continue to increase for labeling materials, specialty papers, and plywood, whereas in communication papers, deliveries are expected to decrease. Sales margins, on average, are expected to be lower than in the same period of last year. This is mainly due to the developments that took place during last year. Pulp prices are starting the year 2025 on a similar level as compared to last year, whereas electricity prices have started this year lower than last year. And it is good to keep in mind that there are currently significant uncertainties in geopolitics and in global trade relations. Biofuels and biochemicals had a significant negative impact on our 2025 bottom line. And this we discussed this in our Capital Market Day, where we showed the EBIT numbers for the first half of the year. Here we share the corresponding numbers for the second half of the year. Biofuels was impacted by a significant downturn in the advanced fuels markets, while variable costs decreased but with a delay. Now, going into 2025, we expect the business to improve its performance. Markets have stabilized, and variable costs are coming down. In biochemicals, we had all the teams, business processes, and systems in place ahead of the start-up of production. The unit has started its sequential start-up, and integrated commercial production is expected in the second half of 2025. As we have indicated earlier, we expect the unit to reach full production and positive EBIT contribution in 2027. This slide summarizes the valuation changes and impairments of our assets in Q4. As mentioned, the fair value of our Finnish forests increased by €105 million and this is primarily due to higher wood price estimates. So the total value of the Finnish forest in the balance sheet is about €1.8 billion. We made an impairment of €113 million euros on goodwill, which was in our finish pulp operations, also due to increased wood cost. This goodwill originates quite a long while ago from acquisitions in the paper business more than 20 years ago. And finally, we made an impairment of €373 million on the Leuna biorefinery assets, resulting from the cost overruns and construction delays during the project. As you remember, this biochemicals refinery is a first-of-its-kind project. In those, there are always learning costs. But in this case, this was implemented during a series of external crises like the COVID-19 pandemic and associated lockdowns in Germany, the war in Ukraine and then the subsequent resources and supply chain challenges. The book value of the refinery now is in line with the estimated cost to construct a similar facility or refinery. Now I'll hand it back over to Massimo for some analysis of our actions and direction forward.
Massimo Reynaudo: Thank you, Tapio. 2025 started with a very volatile business environment. We entered this year and this environment with a broad portfolio of attractive businesses and valuable assets. To enhance the value of the company in the current uncertain operating environment, we are acting on three fronts. We are focusing on the continuous improvement of our overall performance. We are accelerating the growth in targeted areas where we have strong competitive positions. And we are considering opportunities in our business portfolio. Let's start with the Communication Paper. The business is committed to continued healthy cash generation. In 2024, the free cash flow to capital employed was 22%. Communication Paper continues to optimize its product and service mix and to develop its commercial strategy to maintain a leading position in its industry. At the same time, it maintains a high degree of cost discipline. So in this area, last year, as Tapio mentioned earlier on, we closed down about 12% of our overall capacity or 610,000 tonnes. The annualized fixed cost savings from these closures is in the area of €45 million. When it comes to renewable fibres, 2025 will be the first year of full production at Paso de los Toros in Uruguay. This will add approximately 300,000 tonnes of pulp production compared with 2024. And this will unlock further potential in our highly competitive Uruguayan platform. The full ramp-up of the project leads also to a reduction in its production cost with respect to 2024. And besides that, we are planning for de-bottlenecking actions at both mills there to increase production further in the medium term. In Finland, on the other hand, the wood market continues to be structurally tight, keeping wood costs high and availability limited. In order to cope better with this situation, in the second part of 2024, we established a new streamlined operating model in Finland to protect the profitability in our Finnish Fibres platform. As a result, we have been able to operate our well-maintained pulp mills profitably despite the combination of high wood costs and low pulp prices of 2024. In advanced materials, we have strong market positions in attractive growth markets in label materials, specialty papers and plywood. In the current and slower economic environment, we are sharpening our competitiveness in all the three businesses through fixed cost reduction, streamlining product portfolios and optimizing production. This helps us to support the performance and capture the recovery and growth in these markets. Raflatac's strategy is to grow, both organically and through M&As. Today, we have announced the acquisition of Metamark in the UK. Combined with the recent acquisitions of Grafityp and AMC, we are gaining a significant position in the highly attractive graphic solution market. In Specialty Papers, we aim to capture growth in faster-growing geographies and flexible packaging. With these measures, we aim for the businesses to accelerate growth and get back to double-digit EBIT margins. Going into some more detail in the Raflatac area, the acquisition of Metamark is in line with the strategy discussed in our Capital Market Day in September, to target a leading global position in the graphics business to complement our strong position in the labeling space. Graphic is a market worth about €4 billion today, fast-growing 5% per annum, and it is a higher value added adjacent market for Raflatac. The picture here in this slide illustrates what kind of products we are talking about. We entered this business with the AMC acquisition in 2022. We expanded our position with the Grafityp acquisition in 2024, and now we are accelerating our growth with Metamark. Metamark has a strong market position in Europe and established presence in America and Asia, and a track record in terms of growth and profitability, and will enable attractive synergies once integrated into Raflatac. Looking next at the Decarbonisation solutions, Tapio already briefly touched upon biofuels and energy. I will focus here on the biochemical business launch and the start-up of Leuna refinery, biorefinery. First, the commercial interest for our biochemical products and side streams is strong, and it has been confirmed now with customer agreements. The commercial pipeline is robust and is multiple times the annual production capacity of the mill. This allows us to optimize the products and sales mix and supports our confidence about the attractiveness of this business. Let me give you some more details about where we stand with the ramp-up of this business. This slide here shows you the main process parts of the Leuna biorefinery. The mill consists of different units, each basically containing new-to-the-world technologies. The mill, once fully operational, will supply products that will go into different market segments. We initiated the sequential start-up in late 2024. The wood handling section you see on the left is now fully operational, and we are making good progresses in the wood-to-sugar and lignin process, as well as in the lignin-to-renewable functional fillers process you see at the bottom of the slide. In the sugar-to-chemical section, a bit above, during the quality assurance checks, we have identified some corrective works needed. Well, this is what commissioning serves for, and these are the type of issues that the start-up sequence is designed to find out and avoid in normal operations. So, the corrective works have been arranged and are being executed. Meanwhile, the sequential start-up of the other units continues. The integrated production with all the units functioning at the same time and jointly for the whole site is expected to take place in the second part of 2025. The full production and positive EBIT contribution are expected in 2027, as previously indicated. Now, turning the page, shaping the business portfolio is an ongoing strategic process. This analysis is especially important during times of uncertainty and potential shifts in the global operating environment, such the ones we are seeing now. In fibres, we have built a strong global market position and a very competitive platform in Uruguay, which we can leverage for growth further. In Raflatac and specialty papers, we aim to build on our strong global market positions and grow both organically and through acquisitions. In Raflatac, we have decided to enter the attractive adjacent market segment of graphics and we are following up that decision with actions. In biofuels, we last summer decided to take two years to go thoroughly through the business case and test it prior to potential next growth steps. Meanwhile, we look forward to a successful launch of the biochemical business and taking the learnings for the next steps there too. On the other hand, we have also exited the biocomposites business in 2024 and plan to exit biomedicals now, to streamline our product portfolio and focus our development work going forward. We are confident in the UPM ability to create value from our portfolio businesses and from our recent investments. On this basis, the Board of Directors has today proposed an unchanged dividend of €1.50 per share for 2024, which represents a dividend yield of about 5.6% at the end of 2024. To complement the dividend, the Board has also decided to initiate our first share buyback program. The maximum number of shares to be repurchased is €6 million, representing approximately 1.1% of the total number of shares. The maximum amount to be used for the program is €160 million. And with this, we end the prepared part of our presentation. So dear operator, we are ready for questions.
Operator: [Operator Instructions] The next question comes from Ephrem Ravi from Citigroup. Please go ahead.
Ephrem Ravi: Thank you. Two questions. Firstly, on Leuna more broadly, compared to the previous quarters, your investment estimate is about €100 million higher and it looks like the startup has been pushed back by about 6 to 12 months. However, it is still expected to reach the full production and positive EBIT by 2027, which was sort of the earlier guidance. Can you give some color as to how the three-year ramp-up earlier now looks more like a two-year ramp-up? And also, does the experience in Leuna hold any lessons for your investment decision in Rotterdam? That would be the first question. And secondly, on the Metamark acquisition, can you give us a sense of the £1.5 billion of sales in Raflatac approximately? What proportion would be the graphic businesses right now? And on Metamark, you say it will be accretive to EBITDA, £65 million of sales. So if you assume a couple of percentage points above Raflatac, the EBITDA, the absolute EBITDA is in the order of about £8 million to £10 million, which would kind of give you EBITDA of close to £20 million for this acquisition. Is that the right way of thinking about it? Thank you.
Massimo Reynaudo: Thanks, Ephrem, for your question. Let's do this. I'll take the first question about Leuna and then I'll let Tapio to cover the part about Metamark. But when it comes to Leuna, I would say we are absolutely within the frame of what we have communicated back in September. This ramp-up we're talking about is nothing exceptional. It is actually rather common for a biorefinery. I mean, we are not here in the camp of pulp mills or paper mills, where it was a start-up is pretty straightforward and progressive. Here is a sequential for the different parts. We were aware that utilizing a bit like you can visualize in the presentation, the slide we put, when you have a mill where you are putting together different parts, we call them different hearts in this mill, you have to get them to ramp up individually and then to sequence them. We are aware that is a process that takes time. So when we earlier on guided, let's say, reaching full capacity in 2027 and EBIT positive in 2027, we were assuming or let's say building room in our assumptions for all these elements. So by that standpoint, it doesn't change what we have announced or even these technical elements we have mentioned today don't change anything. On the other hand, what I would like to take the opportunity of your question to underline, is also what I said before, the robustness of our commercial pipeline over there. As said, the scale of the pipeline is multiple times the capacity of the mill. Now, like in every commercial pipeline, you have, let's say, stages of customers that are in a prospecting stage, others that are in a testing stage, then you have contracts in negotiation and then you have contracts negotiated already. We have all these elements in the pipeline, so we have firm contracts already, and the scale of the pipeline gives enough confidence that we can get from not just the volume and production standpoint, but also from a price and margin standpoint what we had in the original business case. So our confidence by that standpoint is absolutely maintained.
Tapio Korpeinen: Yes, and if I take your questions around the Metamark acquisition, maybe not, let's say, numbers to give on the graphic segment or kind of business as a whole for Raflatac, but as Massimo earlier described, this is the third acquisition that we have made, so in that sense we are scaling the business up and therefore it's already, I would say, a meaningful part of the business, and the objective obviously is to sort of accelerate growth in this segment, or these end-use segments of the self-adhesive materials. And that kind of brings me to your next question in a sense that you're quite far off in your sort of calculation there, because, well, we have said that this is EBITDA accretive, say, the current trading of the Raflatac business as a whole is not a benchmark, in a sense, to use here in that, first of all, again, the graphics business as such is quite high value-added, as is shown by the pictures that Massimo also showed, so therefore margins are quite attractive, and let's say the kind of recent factors affecting the kind of mainstream business of Raflatac performance, recently they are kind of a topic of their own, so separate from this acquisition or the graphics business as such, so therefore again you're quite far off on your sort of assumptions there. Final point there is that, of course, what we are doing with these acquisitions is delivering on the synergies that they allow us in building up the graphic business, so obviously accelerating our growth there, kind of synergies to our commercial platform in terms of delivering the growth faster than what we could on our own, plus obviously we take also the cost synergies and efficiencies, where a good example is what we have discussed for the fall, we have after the acquisition of Grafityp where we got a very strong hub for production in Belgium, taken steps to move production from our Kaltenkirchen production site to other locations of UPM Raflatac, so we are also therefore taking the synergies to make us more competitive to sort of deliver on that growth in the graphic segment.
Ephrem Ravi: Thank you and just going back to Leuna, does Leuna give you more confidence or less confidence on your investment decision in Rotterdam?
Massimo Reynaudo: Yes, I would say of course there are learnings you can take from everything and including from this, but I would look at the two cases separately because they insist on different markets with different dynamics, so in the case of Leuna we are basically building a new market which is a market of biochemicals, value-added biochemicals into a chemical market. In the case of a potential investment in Rotterdam or in the case more general I would say of biofuels, there is an established market already which has gone through its highs and lows during the different years depending on the known elements also commented before, so when assessing Rotterdam we are going to be assessing our ability to develop a solution that is going to be at the bottom of the cost curve in this space and elements like CapEx efficiency and should we be meeting this criteria we will be moving ahead. This is what we are working for eagerly, but those are the prerequisites for a decision in that area. From a technology standpoint there are not too many let's say crossovers to learn about.
Ephrem Ravi: Thank you.
Massimo Reynaudo: You're welcome.
Operator: The next question comes from Cole Hathorn from Jefferies. Please go ahead.
Cole Hathorn : Good morning everyone. I'd like to focus on the outlook, the lower end of the €400 billion to €625 billion EBIT range. It seems quite conservative considering the last time UPM did kind of sub €400 million was back in 2014. So firstly I'd just like to understand, you know, what are some of the negative assumptions that need to happen to hit the low end of the first half range? You know, are you assuming kind of a deterioration in pulp macro environments et cetera? And then secondly, you know, if we don't see that deterioration in the macro, is it reasonable to assume that if things hold together the second half should be stronger than the first half and you should actually deliver some 2025 EBIT growth if the macro holds together? Thank you.
Tapio Korpeinen: Yes, if I'll take your question, Cole, on that. So of course what we want to kind of provide with this range and then the additional commentary including the sensitivities in the guidance and outlook is a framework to kind of calibrate those kinds of issues like you described there. So obviously the biggest variables sort of single variables are the ones where we are giving the sort of sensitivities. So what happens to pulp and electricity prices in the point that they are more volatile perhaps than in the market and some of the other sort of moving parts in our business. Of course starting from the low end that you asked, as stated we are in a quite uncertain world, so I would say that of course the main driver there kind of like how you refer to is a sort of turn to the worse in the macro environment which then obviously would have an impact on the pulp and electricity market but also let's say this recovery in our end-use markets which has taken place during last year even if perhaps not as fast as some hope but if you look at the year-on-year figures last year we did have recovery in the end markets and expect that to continue into this year. But again let's say where the macro kind of disrupted by events unknown at this point of view obviously would have an impact on that as well. So those kind of obviously changes or negative factors would be the ones that could take to the low end which like you said may be in a sense cautious from that point of view. Then again you can sort of follow electricity and pulp price during the first six months they are publicly quite widely available and we are still even if we have seen some announcements of pulp price increases by the different players in the business we are still in the sort of low territory of the pulp price cycle. So in that sense with kind of positive macro we would expect in a sense that to sort of drive us kind of within that range then kind of upwards and that continuing into the second half of the year everything else being equal then obviously would be sort of continuing that trend in terms of profit development.
Cole Hathorn: Thank you Tapio and then you know maybe on the buyback you know I interpret the first €160 million buyback as reassuring that you know you're willing to return excess capital to shareholders now that you're past peak CapEx. If we do see the macro recovering through 2025 would the UPM management and Board, consider you know further capital returns and futures I mean obviously caveating that you'd need to see an improvement in the earnings profile but effectively is this €160 million kind of the first wager you're putting on the table for buybacks or capital returns?
Tapio Korpeinen: Well let's say so that in the Capital Markets Day we had I would say a thorough discussion or lively discussion around the capital allocation and dividend policy and also specifically about possible share buybacks and how we have in a sense set the framework there is that we have our regular dividend where we aim to have a consistent positive trajectory over time in our dividend per share and then from time to time share buybacks are a complementary tool to that in a sense to share some of the returns and cash flow from the investments and improvements in the business that we make. And now this is the decision that Board has made first kind of share buyback taking that tool into use €160 million is meaningful in a sense that if you look at what we are paying out as a dividend €800 million that's a 20% compliment to that so to speak. But as said when it comes to kind of possible further decisions like again we discussed in the CMD we expect a kind of period where CapEx is lower and therefore cash flows turning strongly to the positive and surely then the Board will decide and consider that on possible next steps.
Cole Hathorn: Thank you.
Operator: The next question comes from Johannes Grunselius from DNB. Please go ahead.
Johannes Grunselius: Yes, hi gentlemen it's Johannes here. I would like to zoom in a bit on Uruguay. You had very strong pulp shipments for the group. Was this due to you know you reached perhaps even above nameplate capacity in Uruguay or was it more due to inventory depletion and you talked also about in the medium term doing debottlenecking investments or debottlenecking actions to take up volumes further in Paso de los Toros. Could you elaborate on that please? Time frame et cetera?
Massimo Reynaudo: Yes, Johannes, when it comes to the capacity just recalling the main milestones we have reached nominal capacity in quarter 2 2024 and we have been producing basically at capacity ever since. So shipments you know may be moving a bit left or right one month to the other depending on both leaving on -- at the end of a month or at the beginning of the other one but in the -- if we take a longer period than a month or a quarter there is no big needle moving part over there. And now this leads to the second question about the debottlenecking. Once reaching -- reached capacity is where you start -- well debottlenecking may mean two different things or passes through the two different steps also like we have indicated on the Capital Market Day, there is a first phase where a reached capacity you push farther to see what you can achieve with the substantially -- substantial tuning of the process. And this is the phase that is following and will be ongoing right now. And then for a more substantial increase in in the output that's when you need to see the limits you have reached and where you need to invest to debottleneck, so that is the phase that will go with some CapEx investment. So I would say that down this process we have reached the nominal capacity now we are entering the phase where we push beyond that capacity and that will tell us what we need to do and when to enter the third phase. But just to create expectations these are kind of optimizations and developments that will span over a more than one-year period is not something that will happen let's say quickly in big steps in a couple of months, so it's going to be a progressive process.
Johannes Grunselius: Okay got you. Yes, there are two more questions on Uruguay short ones but you typically guide for all in cash cost of 280, is that still relevant? And also I can see in the schedule for maintenance stoppages that you plan for stopping possible stores in Q2 if you can indicate what kind of profit impact that could have please?
Massimo Reynaudo: Okay. Well the target when it comes to cash cost remains, yes, that's what we are working toward to with continuous with continuous optimization from where we start onward but also you know this optimization is not a linear process in the sense that going toward that target cost up and happens in steps that are bigger at the beginning and taking away the last $2 to the target will take longer because it's going to be the result of finer tuning later on. But just to give you a metric about the steps we are making in that area. If we compare 2025 with 2024 all the rest is staying equal. We assume we are going to be having a cash cost reduction year-on-year in the area of €25 to €30 per ton, so meaningful. And this has been achieved through these different elements ramping up capacity, ramping up the railway ramping up capacity is also meant to increase the electricity production that we sell in the network. And there are now have been and there will be further optimizations in the logistics and use of plantations and so on and so forth. So hopefully I giving you some valuable elements on.
Operator: The next question comes from Andrew Jones from UBS. Please go ahead.
Andrew Jones : Hi. Just a couple of follow-ups the questions you've had before. I mean firstly just on that guidance range, I didn't hear anything explicit about pulp prices I mean it's for a pulp price that gives you the 400 versus the higher end of a range? And then just on the other division, I mean if you strip out the forest gain is minus €43 million I'm wondering you know how much of a negative drag was the biorefinery in that number and how was that as a bigger hit in the quarter excluding the obvious big one-off impairment versus how much of it was weakening in the in the biofuels. Basically just break out what's going on in that line item? Thanks.
Tapio Korpeinen: Well maybe I'll cover those. So first of all in the guidance range so again we have kind of given you a sort of a framework for pulp price with the sensitivities that we have given in the outlook section then in terms of how it is incorporated in our range obviously we are starting from the level of pulp price in the beginning of the year, we have our own forecast of pulp which we don't disclose you have yours. So in that sense then obviously you need to sort of look at the look at the sensitivities and kind of go from there and obviously during the quarter it will be public information or during the two quarters it will be public information, how the pulp price then develops from here. But that's…
Andrew Jones: Sure, I mean we can we can work out the sensitivities, but I'm wondering what you were plugging in to get the €400 million versus the €600 million because you know if the €400 million is based upon you know on spot is very different than being based on the assumption of prices go up by 50 or something well what's the you know can you give us some more steer for that so we can say expectations?
Tapio Korpeinen: We don't provide forecasts for prices.
Andrew Jones: No you don't, I'm asking for forecast on prices but I'm saying if you've given a forecast range on EBIT, can you tell us what you've assumed for pulp to give you that range?
Tapio Korpeinen: No. Then the question on -- because we don't give forecasts on prices. So then the question is -- the second question was about the others and again for perhaps that purpose we showed you an update in terms of how during the second half then biofuels and biochemicals have impacted that sort of others other sort of segment in our reporting. So I think you can sort of see from there not big kind of change in the biofuels slightly better for the second half than the first half from the EBIT number point of view and let's say not a big deviation between the two quarters.
Andrew Jones: Okay. And just finally on the maintenance in the past you've quantified the maintenance in the first half in terms of like a dollar number or euro number. Could you give us an idea for what you're factoring in for the first half and how does that look half on half if you're comparing to the second half as well for next year, is it you know how much is it weighted to the first half?
Tapio Korpeinen: Well let's say yes for the first half there we have the all nuclear power plant maintenances and then we have the Paso de los Toros pulp mill shutdown which was mentioned already earlier and there perhaps just a reminder that still now given that we have recently started up the mill this shutdown is only 12 months after the first last year shutdown and from here on then normally we have 18 month cycles. But in any case therefore we have the puzzle in the first half of this year. And then we have Kymi pulp mill as well those both in the second quarter. And one can say in round figures all this maintenance activity in the first half the two pulp mills and the nuclear part is about €100 million euros which is part fixed cost from the maintenance and part lost margin obviously due to the fact that during the maintenance we don't have the volume produced from the mills. And in the second half of the year we will have shutdowns in Kaukas and Fray Bentos but early to give guidance on those because again it's dependent on where we are in terms of pulp margins and pulp prices at that point in time. So, come back to that later in the year.
Andrew Jones: Okay, nice color. Thank you.
Operator: The next question comes from Lars Kjellberg from Stifel. Please go ahead.
Lars Kjellberg: Thank you. I have a couple of follow-ups from me as well. If you look at the cost improvement you talked to, you know this year in -- per tonne in Uruguay at the same time of course you see quite a material increase in the cost of your Finnish activities on the fibre side. Could you give some sort of color how those two combined would position your fibre business? And then just on Raflatac. I mean your performance there relative to number one in the business have been deteriorating. You were kind of at parity in '21 and '22 -- '21 at the margins and you put 7 percentage points below them in '24 with a sequential deterioration through the year. So the question is can you provide some color what's happening to your business that is not happening to the number one producer and given what your margins are today do you have the right to grow in this business?
Massimo Reynaudo: Okay. I'll take this question about Raflatac first and then I will let the other one for Tapio next. Well -- I mean we can go back to the evolution of the business in Raflatac in the past or we can benchmark to the number one in the market or orders. But that should be opening up a discussion around also the differences in terms of product portfolio geographical exposure and few other factors. I would prefer to focus on what is being done now because clearly the level of performance of 2024 is not in line with our aspirations and expectations for that business. Irrespective of market dynamics we have been talking in the past multiple times about stocking, destocking recovery or not, we believe that element apart because that is not something that we control. But when it comes to elements that we control, the business has taken decisive actions in 2024 to improve both things, profitability and competitiveness. When I talk about decisive actions I mean a number of different actions affecting organization an organizational simplification was announced in August last year which included also streamlining and cost -- fixed cost reductions. Another element is operational effectiveness, and the organization announced in November the closure of the mill in Kaltenkirchen and the transfer of productions in Belgium or elsewhere where there are more competitive cost conditions. The business also announced very recently further streamlining of the assets and the number of actions in terms of streamlining product portfolio and so on and so forth. So well by the way is working also sourcing efficiency and so on and so forth. Now as frequently happens, when you implement these initiatives you don't get the payback immediately in some cases when you do transfer activities from one side to the other you must even ramp up the destination place and the cost that go with it before you ramp down the cost in the source in place. So this is why these the impacts of these actions has not been visible in 2024 or even fixed cost may have a penalized the performance in 2024. But this will be will start to be visible and material in 2025. Just to give a frame to that the impact of these actions already triggered in 2024 or targeted for a 2025 is in the scale of tens of millions. And the sad part of it will be fixed the cost savings -- will be going to performance improvement, a part of it will be reinvested in competitiveness, so that we capture whatever it will happen to the market and we believe that beyond cycles or inventory cycles there will be growth in the market. So the business is setting ourself for let's say getting back and rather soon toward it is the ambition which is double digit EBIT.
Lars Kjellberg: I appreciate that. Can you give me some color around in terms of your margin improvement that you expect? As you look at it you had some self-created headwinds I suppose in '24? And where can you see margin planting all other things being equal in '25? Will that be already then double digit margin?
Massimo Reynaudo: Sorry, the line is quite disturbed and breaking at his end. I understood the question about margin improvement but what business are you referring to?
Lars Kjellberg: Raflatac, what I'm talking to.
Massimo Reynaudo: Well of course there are -- there's a lot of volatility in the market but our ambition is to get to double digit EBIT in 2025 but of course, will depend by a number of external factors that we don't control.
Lars Kjellberg: Understand. Thank you.
Tapio Korpeinen: Also you had a question on fibres, yes. So if I'll try to sort of take that one so, well first of all like Massimo already went through. We have quite a lot of operating leverage in Uruguay obviously again let's say at full run we have 300,000 tons additional volume there plus then the cost improvement coming from the platform which Massimo covered as well the Finnish operations they make their let's say profit contribution as well on EBIT and cash flow level. So even if we have challenge in the Finnish wood market that all players have to deal with here in Finland our partners have been profitable. So in that sense they sort of contribute to the bottom line of the fibres business as a whole and therefore us as a combination then obviously we are aiming to improve the profit of the business area as a whole.
Massimo Reynaudo: Okay, good. We're getting toward the end of the time available, but let's still pick a quicker question.
Operator: The next question comes from Robin Santavirta from Carnegie. Please go ahead.
Robin Santavirta : Yes, thank you very much. First of all, in terms of the law in a biorefinery. Could you give some kind of comment with regards to the profitability out for this year, so where losses declined compared to last year? And also will you start full depreciation as of Q1 for the plant?
Tapio Korpeinen: Well if I cover that, so basically this year still on the EBIT line we will have additional cost first of all now in commissioning and ramp up of production, we start to have some obviously cash -- additional cash outflow. And then to kind of the second point of your question, I would expect that we'll start then the depreciation coming during the year not from the beginning of the year. But let's say towards the second half of the year when this commercial integrated production is up and running.
Robin Santavirta: Okay, but perhaps we should expect somewhat larger EBITDA losses now when you ramp up operation. Do I understand that correctly?
Tapio Korpeinen: Yes, in the beginning OpEx obviously is now sort of then going up.
Robin Santavirta: All right, thanks. Second question I have is related to overall demand and order intake you see at the moment and particularly when it comes to Europe some of your peers have indicated that there's some early signs of improvement in demand, what do you see the same or is it still sort of as challenging as it was in H2?
Massimo Reynaudo: Well I would say that we may confirm the view of some early signs of recovery specifically, we need to consider that we are coming from a quarter 4 that was extremely low. So definitely on some base there are some better signs coming going ahead.
Robin Santavirta: Good, thanks. And a final quick one to Tapio on the -- just go Massimo…
Massimo Reynaudo: No, no, that's fine that's fine. Just we need to wrap up, because we are beyond time. So really quickly, please.
Robin Santavirta: Yes, the energy rebates in Q4. Can you give a number Tapio on those ones, EBIT the impact?
Tapio Korpeinen: Well let's say not the number as such let's say of course again similar as previous years perhaps again obviously scale of business is coming down so in that sense the scale of the benefit in a sense over time is coming down as well sequentially. If you look at Communication Papers result between Q3 and Q4 then let's say this energy related items in the fourth quarter was larger actually than that that sort of sequential change in the EBIT.
Robin Santavirta: Thank you very much.
Massimo Reynaudo: Very good. Thank you Robin, thank you all for your questions and for the participation to the call today. With this I close the call and wish you all a nice day. Thank you.